Operator: Good afternoon, ladies and gentlemen. Welcome to the Deutsche Borse anaylst and investor conference call regarding the Q1 2022 results remote.
Jan Strecker: Welcome, ladies and gentlemen. And thank you for joining us today to go through our first-quarter 2022 results. With me are Theodor Weimer, Chief Executive Officer, and Gregor Pottmeyer, Chief Financial Officer. Theodor and Gregor will take you through the presentation. Afterwards, we will be happy to take your questions. The presentation materials for this call has been sent out via email and can also be downloaded from the Investor Relations section of our website. As usual, the conference call will be recorded and is available for replay afterwards. With this, let me now hand over to you Theodor.
Theodor Weimer: Thank you, Jan. Welcome ladies and gentlemen from my side, as well. Well, let's start today's call with a brief overview of the financial highlights and the key developments in the first quarter. Afterwards, Gregor, our CFO, will be presenting the financial results in greater detail. In contrast to last year, our regular secular growth achievements and a contribution from M and A have been complemented by strong cyclical tailwinds. This has contributed to our net revenue growth of 24% to a record quarterly level of more than £1 billion; 2, to the operating leverage of our business model the EBITDA even increased by 32% during the first quarter. Secular net revenue growth at 8%, both slightly above our guidance. This was particularly driven by product innovation in financial derivatives, an increase of market shares in commodities, the growing demand for ESG related products at ISS, and the continued trend towards outsourcing in the fund industry. M&A contributed another 5% net revenue growth.  This was mainly driven by the contribution of the remaining 2 months of ISS, which we started to consolidate in March last year. We also continued to implement our M&A strategy and have closed the acquisition of [Indiscernible], a leading fund data manager, in March this year. This will further strengthen our fund service business because we can now offer data management and regulatory reporting services to our existing client base. The strong cyclical tailwinds resulted from higher volatility in almost all asset losses, and accordingly, hedging needs of our clients increased significantly. This was very visible in commodities and equities, but fixed income and FX benefited as well. In total, cyclical net revenue growth amounted to 11%, which also includes the one-off effects from the REGIS-TR disposal, and some benefits from the stronger U.S. dollar. With a much more positive top-line development compared to last year, we slightly increased investments in growth and infrastructure. This is why other constant currency basis to organic operating costs increased by 5% in the quarter. But we also continued to increase productivity through our continuous improvement program. This helped offset most of the inflationary pressures. such as quite frankly, strong start to the year is very likely from today's perspective that we will exceed our full-year guidance. With that, let me now hand it over to you, Gregor
Gregor Pottmeyer: Thank you, Theodor. On Page 2, we showed the first quarter results of [Indiscernible] in detail. While cyclically boosted net revenue, we saw a nice improvement of the operating leverage and an organic earnings growth of 30%. The result from financial investments include around €17 million from our investment in the Illuminate fintech fund. This is driven by the market-to-market valuation of the fund and the partial disposal of our holding of the fund. In addition, the line item includes a gain of around €12 million from the sale of the [Indiscernible] stake in the U.S. derivatives exchange FairX to Coinbase. Depreciation includes a software impairment of around €6 million on the buying agent services that were developed at Eurex. This is the result of the decision by the European Commission to remove the buying application from the CFR regulation for an indefinite time. The financial result includes a one-off gain of around €4 million from an interest rate hedge. This is related to the senior bond we placed at the end of March. We secured an attractive interest rate level already in 2021 which reduces the effective yield of the bond to around 0.6%. The proceeds from the issue of the bond will be used to refinance the corporate bond maturing in October 2022. On Slide 3, we give you an overview of the quarterly results in the new segment reporting structure. We have simplified our reporting structure by reducing the number of segments from eight to four and applying a more product driven approach. The new segments are Data and Analytics, which comprises Contigo and ISS, Trading and Clearing, which is Eurex, EX, Xetra, and 360T, Fund Services, which is identical with Clearstream investment fund service business and Security Services, which consists of core equity and fixed income custody and settlement business of Clearstream. We have also simplified the net revenue line items within the segments, but you still will find most details disclosed in the appendix of this presentation.  I'm now turning to the quarterly results of the segments, starting with data and analytics on Page 4. The segment performance was mainly driven by the continued out performance of ISS compared to our expectations. On an organic and constant currency basis, ISS 's net revenue increased by around 19%. The ESG business was mainly driven by higher double-digit growth in ESG analytics and corporate solutions. Governance solutions also performed well. The index business saw a mix of tailwinds from Eurex exchange licenses and some headwinds from market valuation in ETF licenses. Analytics saw some headwinds from slightly higher point in time net revenue in the same period last year. Let me turn to Slide 5 into Trading and Clearing segment. The overall segment clearly benefited from higher volatility and increased hedging needs, particularly in commodities and financial derivatives. Financial derivatives were driven by equity and equity index related derivatives with a 25% net revenue increase. Interest rate-related product also performed well.  They include interest rate derivatives and the OTC clearing with an overall net revenue increase of 21%. The strongest [Indiscernible] in the segment was achieved by commodities. On the one hand, this was due to higher trading and hedging needs that we incurred. On the other hand, the margin fees continued to increase in the quarter amounted to €16 million. Since hedging was the main driver for trading activity in the quarter, net revenue in cash equities did not call quite as much as other parts of the segments, but still achieved a plus of 5%. Demand for our foreign exchange products including swaps and forwards was significantly higher compared to previous quarters, and net revenue increased by 18%. The Fund Services segments which you can find on page 6, continued its strong performance in the first quarter.  Due to onboarding of new clients and portfolios, cyclical headwinds from market valuations in equities and bonds were over compensated. As a result, we exceeded our organic cost target of around 10% despite cyclical headwinds. To further complement the fund service of our we acquired Kneip at the end of March. Kneip is a leader in firm data management and reporting solutions for the asset management industry. The expectation is already closed and form the basis for creating a leading fund data up with significant cross-selling potential into our existing client base. In addition, we announced a partnership with a global wealth management platform, FNZ 2 weeks ago. Together, we will create a leading business intelligence solutions provider and help rollout fronts distribution services into FNZ, client basis in the UK. Our security services segment on slide 7 benefited from the divestiture of REGIS-TR. But also saw solid growth despite some market headwinds. The divestiture of Clearstream 50% stakes in REGIS-TR to ICBA CLIA resided in a one-off proceeds of around £49 million, and at the same time in a recurring decline of net revenue by around 5 million euro per quarter. Headwinds from lower equity market valuations and a slight decline of retail participation, they're overcompensated by solid leverage of fixed income issuance activity. The net interest income started to develop more positively and amounted to around £19 million. This is mainly because of increase in cash balances in the quarter. On [Indiscernible] we discontinued the cash handling fee on U.S. dollar balances after the first set rate hike in March.  This means that the potential further hikes will directly translate in higher net interest income. The current sensitivity is an increase of short-term interest rate by a 100 basis points higher that'll expand the NII by around £90 million on an annualized basis. The last page of today's presentation shows our guidance for 2022 in the context of our midterm plan. Due to stronger-than-expected cyclical net revenue growth in the first quarter, we currently expect more than €3.8 billion of net revenue and more than €2.2 billion Europe EBITDA. Previously, we had only committed ourselves to achieving something around these values for both KPIs. Taking the first quarter into consideration and leaving our assumptions for the rest of the year unchanged, we would currently be looking at roughly €70 million of additional net revenue for the full-year. Since we are expecting the U.S. dollar to remain strong and since we continue to invest slightly more, the up side to the EBITDA guidance would be somewhat less than €70 million. But still, there are nine months to go in the year, though there could be both cyclical headwind, as well as tailwinds to the close, we [Indiscernible] expect. Headwind, could for instance arise from a recession in Europe as a result of the war in the Ukraine or [Indiscernible] line of volatility and volumes into the second half of the year, similar to the development in 2020. Tailwinds could arise if U.S. interest rate are increasing to 2% or more to go at year-end, which is current the market expectation. This concludes our presentation. We're now looking forward to your questions.
Operator: Ladies and gentlemen [Operator Instructions]. And the first question comes from Andrew Coombs from Citi. Over to you.
Andrew Coombs: Opening. I did 3 questions [Indiscernible] I can do very short one and followed by the main question. The short factor one is, can you provide the AuA in Clearstream Fund Centre or the fund distribution AuA? That could be done in the appendix. I would appreciate figuring that. And then the main question is just on the NII sensitivity. You talked about the revised charging in March to now it should flow through, previous set between 25 basis points is $19 million. Does that still stand? And are there any offsets elsewhere? They could come Q3 to finance expense line or when anywhere out that we should be aware of. Thank you.
Gregor Pottmeyer: Sure, Andrew. Thanks for your questions. AUA at Fund Center is roughly €400 billion with regard to the sensitivity of the NIR liberated that having currently roughly 9 billion customer cash balances in U.S. dollar. So a rate increased by 1% translates into €90 million. So that is a sensitivity. You can take for your model.
Andrew Coombs: I meant no offset to many other changes in pricing or you'd have any floating rate debt issued which is dollar sensitive, anything in those lines?
Gregor Pottmeyer: No. There is no compensating effect.
Andrew Coombs: Perfect. And just on follow-up on the first point, the 400, I think you said 400 now for the last three quarters, we've been in a negative mark-to-market impact on that fund [Indiscernible]
Jan Strecker: And -- well, that's the rough number, though, unfortunately, we don't have it readily available per month yet, we're working on that. So definitely as you can see from the revenues, there was a little bit of a headwind from equity and fixed income valuations but I think we've nicely offset this also through growth in terms of declined base and the funds that are covered.
Andrew Coombs: Perfect. Okay. Thank you.
Operator: Next up is Haley Tam from Credit Suisse. Over to you.
Haley Tam: Afternoon. Thank you very much for taking my question. I wanted to ask about all the different components of secular growth but I guess I will pick just one, therefore, to ask about. If I can ask you about the ESG data, revenue growth, obviously it was very strong year-on-year but has been partly stable I think for the last three quarters. So I just wondered, can you help us understand how to think about this business? Is it like an annual subscription model that we should see the growth come through once a year or is there something else that's causing that stability? Thank you.
Gregor Pottmeyer: Yes, Haley, thanks for the question. Obviously, ESG is one of the key cost driver for [Indiscernible] business today at 7% to 8% of the overall group's net revenue and it will continuously increase obviously over the next year. [Indiscernible] higher organic growth on that side. In the first quarter, it was roughly 30% on a constant portfolio basis, so that's obviously higher than in the other business areas, and we expect that this trend will continue to happen in the future. Secondly, we will continue to look for M&A in this area so that we also increase our bases here. So the singular drivers here are basically two components in ESG, it's our ISS business obviously; and secondly, it's also our EEX business what contributes a lot. So these are the two main drivers for this ESG cost.
Haley Tam: Thank you, Gregor. If I can clarify, in the ISS ESG data revenue line, I think it was about €50 million -- €51 million for the last three quarters. That's a stable number I should expect. And really, I should be looking at the EEX business for growth, is that the right interpretation?
Gregor Pottmeyer: Yeah. So as you're also focusing on the recurring elements or -- usually in that kind of business in ISS it's a returning revenue, and so that you should see sustainable and continued growth here with regard to EAX. Obviously there's also a trading component to what the conceited idea is, the [Indiscernible] with this. And then therefore we have a clear classification, and here we expect that this will also continue to grow on a secular basis. Today it's more than 40% of the increase over the next year, so there's a secular component. But definitely there's also a current -- a cyclical component as overall, there are also higher market volatility, but in principle it's more a secular trend.
Haley Tam: Thank you very much.
Operator: The next question comes from Arnaud Giblat from BnP Exane. The floor is yours.
Arnaud Giblat: Yes. Good morning. Good afternoon. Sorry, very quick follow-up and my main question, if I may. The follow-up, the first is cash equity yields have come off a bit this quarter versus previous quarters. I'm just wondering what's going on in the mix since that's maybe a little the top participation that's making a bit. My second question is with regards to ISS mostly from distribution. Do you see a significant consolidation opportunity ahead? Could mean there's some logic transactions happening there. And more important, if there's any potential transaction into issues with the competition commission. I think we've been there before but how should we think about that in terms of market definition? Thank you.
Gregor Pottmeyer: Yeah. Arnaud, let me pick up the second question. The [Indiscernible] the consolidation on the ISS. I tend to be very clear and outspoken, right? There are no plans on our side to enter into any consolidation games which might arise at the fall or rise near because there's such a strong organic growth that we see no need and be. We feel comfortable with our acquisition which we have done, right? When we acquired. So let's be very clear here We feel extremely well with what we have acquired so far.
Theodor Weimer: And on cash equity and all, it's basically the product mix. What we've seen is a quite substantial decline actually in retail trading compared to the strong previous year, and retail trading typically has a higher fee margin or the product mix is changed, but nothing really structured.
Arnaud Giblat: Thank you.
Operator: Our next question comes from Benjamin Goy from Deutsche Bank.
Benjamin Goy: Hi, good afternoon. Just wanted to check on your M&A higher power. Can you confirm where you're standing was, the upper target? And would that mean that we should expect more of the same, meaning this 200 million type acquisition here and day-out, or do you see there's more room to grow in organically? Thank you.
Gregor Pottmeyer: Thanks, Benjamin. As we got through M&A of higher power, I think you're aware that we're a strong cash flow generating business. So on a yearly basis we roughly generate €1.5 billion in cash flow, so let's say €600 million for dividend, let's say €200 million for CapEx, so it remains roughly €700 million. So you can see that we generate very quickly on cash and therefore, on a higher power from a funding perspective, we see [Indiscernible] to do transactions we would like to do. From a rating perspective, we are also now back on track with regard to our debt levels. So obviously with this on Q1 and with this year expectation here so we will come back through the agreed on KPIs with the rating agents [Indiscernible]. So no reflections from a firepower perspective as we got to M&A. As we got through our M&A strategy, I think you are aware that roughly a €150 million are missing for our 2023 target so long favorite it's roughly €600 million what we contribute with the 5% M&A contribution over the four years, roughly €450 million was already have already delivered, so meeting a €150 million, and that's still potentially the level we definitely want to achieve, but currently there's no big pressure. So if we find an attractive target then obviously we can look at it and no pressure from that point of view.
Benjamin Goy: [Indiscernible]. Thank you.
Operator: The next question comes from Mike Werner from UBS.
Michael Werner: Thank you very much. Just a question on the -- within trading and clearing the revenues per contract or the revenues per volume within equities and interest rate derivatives. We saw volumes up quite strongly in both, and surprisingly, also we did see a bit of an uptake as well in the yields on those products year-on-year. I was just wondering -- usually, we tend to see the opposite, but I was just wondering what was going on in the next year. Thank you.
Jan Strecker: No, Mike. At Eurex, typically, there are no significant volume rebates or aside from market making rebates, it's pretty much price list fees. But what we've seen and what also contributed to the secular growth in trading and clearing in Eurex, is basically new products and product innovations or MSCI derivatives, dividend derivatives, volatility derivatives, and so on, typically, are higher price, so they help to bring up the [Indiscernible] already for the last couple of quarters, at least modestly.
Michael Werner: Thank you. And just perhaps a follow-up with regards to the interest rate derivatives. In terms of the over-the-counter business, I'm just curious to hear how that progressed in the over-the-counter clearing. How did that progress in Q1?
Theodor Weimer: Except for the effect that we funded it'd now an interest rate derivative doesn't mean it has not performed well. It has indeed performed extremely well. It was the strongest quarter ever with close to €90 million of net revenue.
Michael Werner: Thank you.
Operator: The next question comes from Bruce Hamilton from Morgan Stanley.
Bruce Hamilton: Hi, good afternoon, guys and congratulations on the numbers. Quick one, maybe on the M&A landscape and you've been quite clear, it sounds like on the ISS and your view that actually what you have there is growing very nicely, you no need to acquire, to further grow. So what are the nice, interesting areas as you assess the landscape today? And has that changed the total? It sounds like ESG would still be a big focus, perhaps data as well. So I'm just interested in what you're saying. And then just to confirm on the net EBITDA, what you're saying. If you are now at 1.75 times as at the end of Q1 will take so just I make sure I've answered it. Thank you.
Theodor Weimer: Thank you, Bruce. From my side, let me firstly position our M&A strategy in the context of the current environment. First, you need to understand, right, if we are benefiting from strong tailwinds, then our operating model works perfectly, so our EBITDA margin goes up, right? Which is probably nice for you and for us both? On the other side, if you do M&A, there is a tendency that M&A has a negative effect on the EBITDA margin because it's very hard to find as profitable companies as we run our own company. And therefore, we run this smart balance of we want to keep the high margins, but also we want to grow our business smartly forward. But there is no need and no pressure from our side. We don't feel pressed in a situation like this where still the valuations are pretty high. We don't think we should let ourselves get in a position that we feel pressed by the markets whereby anybody out there that we should go eventually towards the M&A route.  As a rule of thumb, until the year 2020, we have grown by M&A on average by 2% per year, 2%. Our target is now in the range of 5%. What we have started in 2020 until 2023, we want to grow to 5% and we are actually exactly on the 5%, as Gregor and I pointed out during our first part of the presentation. So we feel we are pretty well underway, there have come great opportunities out there. We look at those and we have proven that we are in a position to do deals. We have done [Indiscernible] and of course, the key areas we are predominantly focused on the pre -trading and the funds areas. That's what we have done so far and definitely will continue. But again, we're in a pretty good track already and we are not pressed. We are rather focused on the good opportunities, to identify good opportunities. We are less constrained by the financial situation.
Gregor Pottmeyer: As we got to the financial, so what we agreed upon it's what you said, that the net-debt EBITDA is 1.75%, is our target, and the other KPI is FFO net-debt free funds from operation, that's 50%. And so these are the two KPIs we agreed upon to come back at the end of the year with the rating agencies.
Bruce Hamilton: Great. Thank you very much.
Operator: The next step is Kyle Voigt from KBW.
Kyle Voigt: Hi, thank you for taking my question. So in Clearstream, settlement activity was down 17% year-on-year, but cash balance has grown 13%. I'm wondering why you think there's such a divergence there. And does that imply that the balances may currently be slightly elevated as clients are parking cash here because they still have very few alternatives to get higher yields? And lastly, is it reasonable to assume that as rates continue to move higher, your clients may migrate some of those balances out of Clearstream for yield alternatives? Thank you.
Jan Strecker: Yeah, Kyle. There's no direct immediate correlation. So indeed the cash balances are driven by settlement, but only by the ICSE settlements or the international settlement, not by the domestic ones. And therefore, the numbers might not quite match up. What we've seen last time around, so when interest rates went down, and when we introduced the cash handling fee, that balances actually went down. So our question remains whether this is now a sign that balances are even structurally increasing, that needs to be seen. So apparently clients borrowing a little bit more about an explicit charge and not sort of an implicit cost. So from that angle it's a little bit early to predict, but we definitely wouldn't believe they would go down substantially. So either they remain stable, driven by settlement activity, or maybe they even trend slightly upwards as we have seen in marginal.
Kyle Voigt: Understood. Thank you.
Operator: And the next question comes from Philip Middleton from the Bank of America. Philip, your line is up now. We cannot hear you, maybe you're still on mute.
Philip Middleton: Yeah. You've booked some gains on your financial assets, basically on the venture portfolio. I know there was some disposals in there to which well-done but in general, this is a difficult quarter for venture investing. And how come you're like -- you sounds like you've experienced positive mark-to-market, what's going on there and how are you feeling about the next quarter or two in terms of valuation of these assets?
Gregor Pottmeyer: Yeah. Thanks, Philip, for the questions. Obviously to make some prediction on a quarterly basis is a little bit difficult. So what we see is a continued increasing contribution out of our financial SSVP invested. And so since beginning of [Indiscernible] I joined here, one of this is path to professionals this year, and we have done very successful investments here over the last three years and we see the benefits now. And last year we told you that so far over the last few years, you haven't seen anything in our P&L because all of the gains are booked against our equity, and now we made for a certain investment, we changed it specifically for the new ones because if you had made the decision that -- three years ago that you're showing on an -- just into balance sheet on equity basis then you can change it. So it has to be done in the first time. And therefore, we decided now for different SFC acquired recently or what the last month that you see a fair value -- valuation in our P&L. And we have single investments, that we have to make a decision, and we have also some portfolio investments. And this was the case now in Q1. It was illuminate. So here is to invest more in the Fintech portfolio and not in a specific thing investment. And this is shown in our P&L. So it's the [Indiscernible] positive elements here. If they are disposals or even some [Indiscernible] [Indiscernible] you see this in our P&L. And there are many others and now -- where you could see potential impact. And it really depends whether a transaction takes place, yes or no. So for instance, our 360X business and as the leadership of [Indiscernible], we talked about non-financial FX building platforms, market infrastructure plays based on blockchain technology. If you would see here on transaction, here, you would also see then a P&L impact. Though the general message is, if we will continue to do successful investments here in that area, you will see continued positive contributions here in our P&L for that.
Philip Middleton: Okay, thank you. But the overall environment still hasn't been [Indiscernible] helpful, so you did well in Q1 for idiosyncratic reasons?
Gregor Pottmeyer: No, there are obviously positive and negative elements and now as you have seen, Illuminate obviously there was a very positive element. There was another, it was participation in FairX what we hold at [Indiscernible], what we have at [Indiscernible] made a transaction for various attractive pricing and therefore there's another $13 million U.S. positive impact here. So these were the two main drivers for Q1 but over the next quarter, it could be different elements that would contribute. It really depends on whether a transaction takes place, yes or no.
Philip Middleton: Okay, thank you.
Operator: And the next question comes from Ian White from Autonomous Research.
Ian White: Hi, afternoon. Thanks today. Thanks for the presentation. I had one follow-up and one potential question, please. The follow-up is trend; I think is the final comment you made around guidance that this year. And can I just clarify, please? I heard 17 million of additional net revenue versus the previous guidance, less than that on EBITDA. And assuming that U.S. rates go to 2% by year-end. And if I got that correct, please from which I have misunderstood on what you're saying there in terms of the assumptions on depending. There is a tweak, you've made to the guidance for FY22. And then my question really just tasks for a bit more detail on commodity trading. What do you think that in terms of the breadth of participation in counter-party growth in the first quarter? And could you say a bit about the challenges we're seeing in some energy markets around high collateral requirements for end-users and how you see that developing over the coming quarters, please. Thank you.
Gregor Pottmeyer: Yes. With regard to the questions with regard guidance, when I mentioned the €70 million, so that is the surplus we achieved in Q1 compared to our plan. And obviously, when the second comment you made, they had included a 2% Fed fund rate at the end of the year; obviously not, because I talked about €70 million in Q1. So if the Fed rate would go up to 2%, obviously, it would be additional upside potentially for what is not included so far. Your second question around the commodity business. Yes, obviously, was another 40% net revenue increase. High market activity here in power and in gas, strong increase in pricing, and yes indeed, there was a strong increase in our margins we asked for in our collateral. And the good thing is that there were no surprises for the market participants. So the model growth is designed and/or the market participants were able to deliver the collateral. But nevertheless, it's obviously a stress situation at some peak times at ECC, so our clearing house for power and for gas, we had €70 billion margin and it's now reduced to closer to €40 billion but even the €70 billion or the market participants they are able to deliver are definitely expressive duration. But we are in a good dialogue with all the market participants and so far, the [Indiscernible] and everybody is highly interested that this market solution will also continue to happen so that you have a reasonable pricing, that you have a reasonable allocation of gas and power supply, and this also was strongly supported by our German government but also from EU commission perspective. So that is in principle the target to let the markets open and to have a clear price discovery process and the market driven solution.
Ian White: Got it. Thank you.
Operator: The next question comes from Tobias Lukesch from Kepler Cheuvreux.
Tobias Lukesch: And it's good afternoon. Three questions from my side if I may as well. I wanted some costs in one on your performance in the potential recessionary environment. On the cross I mean on the 22 development I think now you have some leeway, especially compared to last year. And I was wondering now with the segments down to 4, could give us maybe a bit of an indication how costs will develop segmentalwise. Do you see one segment with especially stronger investment needs and the other one, well, are there some products where you think that this will be extended to overall view on the cost base. And secondly. you mentioned that if we have a more troubled economy, that also Deutsche Börse, of course would suffer. And then maybe could you point out the product lines which you would see most at risk at performing at the expected underlying levels. Thank you.
Gregor Pottmeyer: Yeah, to be [Indiscernible] as we've got to the cost, obviously, it's good that we were able to show cost discipline in the first quarter where there's a 5% cost growth on a constant portfolio and constant ethics basis, I think that's a very clear thing now to you and to our investors that we will continue to do prudent cost management. Obviously, a strong development in Q1 would give us some leeway, and obviously that's obviously good if it has that kind of leverage. But you will see for the next nine months a prudent cost management from digital management here again. With regards to your second question, that's a little bit of speculation, but nevertheless, you cannot rule out that a consequence of this Russia - Ukraine war crisis could be potentially a recession. And so there are some scenarios of some 2% or even a little bit more reduction of GDP in Europe this year. So it's -- but it's more or less just a scenario planning. So it's not the base case scenario so far, but the best case scenario if still at 2% to 3% GDP growth, so here we are talking about some negative scenario. And then it really depends on what really happen, what is the reason for our potential recession. It's the reason that there's a shutdown of guests’ delivery out of Russia and so that most probably more industry and companies would be impacted by that. So -- and then there wouldn't be such a big impact on our side but there could be also a different scenario. So in principle, we just wanted to say, look, after the COVID development in 2020, so we had also a very strong Q1 and then we said, look, in the second half year, it could be potentially some cyclical headwind and unfortunately, we have seen that. So we just wanted to remind all of us if there would be a stronger recession, obviously market activity would be reduced and also less volatility so that we cannot rule out even if it's not our base case.
Tobias Lukesch: Yeah, thank you. So on the cross side, I take that there is no special investment need on the specific product line or set news but it's more across the board, right?
Gregor Pottmeyer: No, if we see interesting opportunities, then we would have the freedom to invest here. But -- so prudent cost management is important for Deutsche Börse.
Tobias Lukesch: [Indiscernible] Thank you.
Operator: And next up is Johannes Thormann from high HSBC.
Johannes Thormann: Good afternoon, everybody. I'm Johannes from HSBC. Two questions from me. First of all, on Kneip, could you provide a bit more details how you really want to target the synergies you're promising in the fund services business? And secondly, would it be fair to say that the annualized revenue contribution is about €30 million for the next years? And secondly, on Axioma, if we look at the year-on-year decline in revenues, is this a fixed [Indiscernible], which would surprise or what are the reasons for [Indiscernible]? It looks like the current business performance of Axioma completely different to the picture drawn by [Indiscernible] at the time of the deal. Thank you.
Gregor Pottmeyer: Yeah. You can address trends, but fair enough. And so tonight, annualized cost is more in the range of £22 million to €25 million so that's the number of EVP expect on an annualized basis for this year. So it's not 30 million you mentioned. But obviously this wasn't very strategic direction and efficient for us. So we always told you that we have two strong legs in the investment fund service business, so there's the settlement and the custody leg. Secondly, we have now the fund distribution leg with the acquisition of specifically UPF fund center and we missed the fund data leg. So obvious now a third leg and that's exactly what we need. Now, when we talk to customers so we can offer now the full range of the value chain as regard to the fund service business. And therefore we think there are we naturally by the range that we obviously create additional services for our customers. So we can definitely do hear some cross-selling, and so there should be very positive element out of that. If I got to your second question Axioma.  Yes indeed, the performance is not as good as we have targeted when we made the acquisition. Sure there is some corona impact out of that. But more specifically in Q1, if you take that comparison with Q1 last year, then in Q1 last year we had a relatively high share of point in time revenue. So -- And therefore, on these IFS numbers, as you see here, another very strong performance. If you would go like what others do, more on an onewave perspective, and we are currently working on that model that we also show you some onewave expected for the for the next 12 months basically, then you would see double-digit growth on the Axioma side. Here it's not as good as [Indiscernible] because usually in the past there was a growth rate of 15%-20%, so currently we are not there. But the onewave concept would show a better performance that now the IFRS numbers.
Johannes Thormann: Understood, thank you.
Operator: And now we have Benjamin Bathurst from RBC Capital Markets on the line.
Benjamin Bathurst: Afternoon, all. Thanks for taking my question. Can I ask what was the proportion of overall group revenues from recurring sources in Q1. And there's a follow-up to that. Do you have any updated view on prospects for growing that proportion in 2020 versus 2021, just in light of the strong cyclical contribution to revenue growth in Q1?
Gregor Pottmeyer: Yeah, exactly. So the number is 52% recurring revenues. It's a little bit below the share we achieved last year, we were about 55%. And the reason for that is that we have now more equit -- last year we had cyclical headwinds and now we have one cyclical tailwind, and that's the reason why the nonrecurring elements are cyclical driven higher, but in principal, over the next 2 to 3 years. So our expectation is that the recurring revenue number will increase out of stronger performance. We already talked about ESG products and then data analytics what usually has higher growth space, so it should be [Indiscernible] compared to the non-recurring business. And secondly, also from an M&A perspective, we're more interested to invest in business ' recurring revenues. And so these are the reasons for our expectation that the recurring level will increase for the next year.
Benjamin Bathurst: Thank you.
Operator: The next question comes from Harlan Tender from Auto PHS.
Harlan Tender: Yes, good afternoon. Two questions from my side. First of all, I would like to come back to the commodities business. Could you elaborate here a little bit more on the risk management? Do you need actually state guarantees to run this business and did you model for extreme shocks and what would be the outcome in these scenarios? Secondly, you mentioned in the fund service business partnership as [Indiscernible] could you maybe detail a little bit business or market opportunity you're tipping here into? Thank you.
Gregor Pottmeyer: Yes. And this regards commodities, risk management. I think a little bit, are already elaborated on that side. So, we have obviously seen a strong increase of our margin, our collateral at our clearing house of the EX. So it wasn't the peak roughly €70 billion and it's none range more to €40 billion. And two or three years ago, was when the range of €5 billion. Then obviously, you have seen here, tremendous increase year to reflect that completely different market situation. But again, the good thing is that there were no surprises for the market participants. The risk models worked as designed. And there was -- and we didn't miss any margin calls here so far. So far, no need for any state guarantees, right. So the market was able to manage that. Obviously, we are also discussing some shock scenarios. So obviously -- and that's what we're also analyzing. But the outcome and the consequences really depends on the [Indiscernible] scenarios. But in principle, as mentioned earlier. And so, when we talked with the German government in search for this next item to [Indiscernible], then we have a clear understanding that the markets should be opened as long as possible without a government interfering. So that is the basic idea. But nevertheless, we would be also prepared for different things. Segment pressed in around [Indiscernible] I think, yes, in principle there are different opportunities to grow our business. So customer can decide to purely connect to our platform, they can outsource of the business, they can sell the business, or they can do -- partner up with us. So as in FX decided to partner up with RCM and for us, it's a big opportunity to enter in the UK market, that we are currently not present, and so that we have a broader spectrum from a regional perspective, and so that it can attract more customers. So that's the main strategically to get together with FX.
Benjamin Bathurst: Okay, thank you.
Operator: The next question comes from Martin Price, from Jefferies.
Martin Price: Good afternoon. Thanks for taking my question. Sorry to go back to this, but I just wanted to clarify my understanding of the M&A strategy in the fund services space specifically, just wasn't [Indiscernible] to your response on this question earlier, rolling out larger M&A was in relation to IFRS or IFS strike fund services. In short, so I just clarify, if you were to do a deal in the fund services space, your current thinking is that it would probably be in the one or two million euro range rather than anything larger. Thank you.
Gregor Pottmeyer: Yeah, Martin, as already mentioned by Theodor, so there's no pressure from our side to do anything here so -- and throughout specifically in the fund services business. So usually you have seen our transactions we did here in the past though it was usually a €20 million, €30 million acquisition and depending on the portfolio side of the banks and even we do not announce all the deals we do here. Sometimes also customers are shy to be mentioned publicly here. But we have a long and strong customer pipeline where customers are interested to ride together with us. And again, sometimes they decide to purely connect to our platforms, they're doing a partnership, sometimes they want to outsource business or that we take over also their people and then streamlining the processes or some partners are interested to save the business rise. For all of these three options we are very open and we have a long customer path and in all of these three areas so there's no need from our perspective to do other deals here.
Martin Price: Understood. Thanks [Indiscernible] and thanks Gregor.
Jan Strecker: All right. There are no further questions on the call. Thank you very much for your participation today. If there is anything else then please feel free to reach out directly to us and have a good day.
Operator: The conference is no longer being recorded.